Brian Tenner: Hello, everyone. My name is Brian Tenner, and welcome to those listening to this webcast, whether it's live this morning or on the website recording that will be available later today. I'm joined today by Liam Gray, our CFO, and together, we will be presenting our interim results for the six months ending 31st of January 2023. We'll be starting on Slide number 3, where we summarized the highlights of the period and what we see as significant opportunities for Nanoco. First thing to say is final validation is underway for two different commercial production materials with orders anticipated by the end of this calendar year, so by December 2023. In addition, we are operating in core markets that have large and significant growth forecasts, where our materials can play a key role in those markets. We also completed litigation shortly after the period end. And as a result of that and during that process, our core IP that we fully retain in the business has been indicated or validated by the United States Patent Trial and Appeal Board. And then finally, last but no means least, particularly in markets where for small-cap companies, there is a risk-off approach. We have a fully underpinned commercial business because of the proceeds that we have from the litigation. And now we'll go over the page to Slide number 4. To remind you of the value opportunities we see for Nanoco. Use split across two main business sectors. The first on the left-hand side, the sensing business. That's been our focus for the majority of our resources for the last three or four years. Here, we already are delivering service and material revenue with orders expected for commercial production at the end of this calendar year, we expect therefore to move into actual commercial production. On the side of the business, that's been much less of a focus in terms of the commercial or organic business for the last few years, where a lot of our efforts have been focused around the litigation. In display that we are starting to see new interest in our materials, and we actually already have a material long test with a major display OEM. We're also seeing increased engagement with display companies. And we also, as a result of the litigation, we'll have the opportunity to leverage our validated or into new licenses. So things are starting -- the outlook for the display side of the business is starting to improve. And finally, you can see that gray bar across the bottom of those two circles. Both sets of materials in sensing and display are underpinned by our core IP. If I go over the page, I'll give you a brief summary or overview of our sensing business. And turning to Slide 6. I'm starting there, just as a reminder. One of the problems that infrared sensor face at the moment is if they're just based on unenhanced silicon, is that silicon actually is not an efficient absorber of infrared. It also suffers from interference from natural sunlight and is impacted by atmospheric conditions, so whether that's folks, smoke, rain, those sorts of things. Also, because of that interference, lasers tend to have to be higher powered in order to get through and deal with some of those interferences. And in the mobile device, in particular, that extra powertrain is obviously not good for the battery life. And then the last thing to say about the alternative to an enhanced silicon sensor is an InGaAs sensor, and those are extremely expensive, potentially up to 1,000x more expensive with a top of the reaching gas sensor, costing as much as $10,000. And clearly, the vast majority of commercial applications just couldn't afford to have a sensor like that in them. So those are the problems, if you like, that the market faces today. So the question is, well, why would you use quantum dots then? Well, actually, if you put quantum dots on a silicon sensor, I don't think those that make it a more efficient absorber of infrared, but actually, it means it can operate at longer wavelengths. So currently today, silicon on its own becomes blind once you go a long way past 900-nanometer wavelength. Whereas once you got quantum dots, on the silicon sensor, you can take that wavelength so to whether it's 1,200, 1,500, 1,800 or even 2,000 and beyond. Once you start going to those longer wavelengths, you're then overcoming the issues of the interference from natural sunlight because the top end of sunlight, you've got a lot of infrared. Those longer wavelengths are also penetrated atmospheric conditions, so they're actually very effective in seeing through fog and smoke. And for example, you can see that in one of the images below. You can also then use a lower power laser because you're not having the other overcome those issues because the wavelength you're operating out actually just passes through those anyway. And as I've already mentioned, a similar sensor of QDs on it can be whether it's 100 or at some uses even 1,000x cheaper. So that's why you would use quantum dots to solve those problems. And in terms of Nanoco's differentiation, we've already demonstrated with a number of customers that are data capture efficiency of a quantum dot enhanced CMOS sensor is up to 10x more efficient. We already have a large production facility, and that capability remains in place that was built during the work we did with the U.S. customer, and it's now a probably unencumbered production facility that could produce another enough quantum dots to service a few hundred million actual devices or sensing devices. We also, at Nanoco, have a wide range of materials. That's not just in terms of wavelength where we can tune the material to different wavelengths, but actually in the composition of the actual nano material. That's important because different materials will give you different performance standards, different spaces, different response times, et cetera. And clearly, in some sensing applications that's extremely important. And then finally, as I mentioned on the previous slide, our core IP actually underpins our materials, both in the display business and in the sensing business, and that's a valuable asset for the business. You can see in the images below, just a small example of the number of possible applications for our technology, but basically, anywhere where machines either need to be able to see or interact with their environment, then there is a use case for sensors. And obviously, the acuity in-house sensor just is that much more efficient and captures that much more data, et cetera. So the simple summary there is that there is a huge and growing range of value-added applications for near infrared and also short wave infrared sensors. If we go on the page to Slide number 7, there's just a little bit of background information here on sensing markets. I'm referring to recent forecast by They forecast that the CMOS image sensors or CIS will grow from revenue of around $21 billion today to over $30 billion by 2030, and that's for the full CMOS sensor. That growth in entities is going to be driven by an increasing use of sensors in mobile applications and industrial applications, also in automotive applications, some of those examples that you saw on the previous slide. Where the technology is going? There were also support to drive for new materials to increase the speed and sensitivity of the sensors. You're now getting more towards event-based cameras and actually real-time decision making for a sensor, particularly in the device that's moving or that's interacting with its environment if the environment is changing. And as I already mentioned, cost is a key driver for high-volume applications because clearly, the really volume consumer electronics applications can forward that $10,000 price gas sensor. And then within that overall growth, that's where the drive is for the sensors to achieve higher performance standards, and that's where our materials can play a key role. Then we move to the page to Slide number 8. This is just a recap a reminder of where we are in our sensing materials product development. We've mentioned before back in 2018, when we're working with a U.S. customer, we are effectively one product, one customer, one application. We have made significant progress since then in expanding both the wavelengths that we address with our materials, but also the actual composition of those areas. And the chart on the bottom left to the table there shows where we've got active engagements with a number of customers on different materials at different wavelengths. And today, we're interacting with around five different customers on all of those different materials and wavelengths. Again, just a reminder, the typical development cycle here is around four or five years. And if you take the example, all of them we're working with the U.S. customer on that material in less than one micron material A. We started that activity in 2018. We're now expecting commercial orders for that material -- for a different customer, but that material at the end of this year. So you can see that was around the five-year development cycle. So our overall goals for our sensing business by the end of this calendar year to have two validated materials, and that should happen in the current financial year, but also to have a production order by the end of this calendar year. If we then go over the page, we'll now turn to our Display business. And the first couple of slides here are just setting out some of the background information on what's going on in the display markets, particularly as they pertain to quantum dots. In chart below or the chart on this slide actually shows you the evolution of the expected evolution of the flat TV market. And you can see that at the bottom is non-QD TV. The bluish and orange bars, that's where you've got quantum dot TVs. The forecast here is that the quantum dot share of flat panel TV markets is going to rise from 6% of the total market to around 34% of the total market. The patent, if a focus for Nanoco is that expanding blue wedge in the middle because on top, you've got Samsung who today have just under 90% of the QD-TV market, certainly of the Company of QD-TV market. The QD-TV market that is not owned by Samsung is relatively small today, but you can see that it expands significantly over time, both our ability to manufacture materials, but also our underpinning validated IP news are the assets that we will be using to access that expanding blue wedge or an increasing number of quantum dot TVs that are coming from sources other than Samsung. If you then go over the page, there's another slide showing some of the expected evolution of the QD display markets. And this time, we're talking about other devices. Now again, you can see that the growth here in other QD display devices is much larger than the growth in TVs. But the thing you need to bear in mind from a quantum dot perspective is the key metric is what is the area of the screen that you're looking at. So if you consider that a 65-inch TV is equivalent to about 80 different mobile phones, you'll see that you have to sell a lot of phones to have the same area as one single TV. But having said that the growth in other devices actually is equivalent to adding about 30% to the number of QD TVs that we saw on the previous slide by 2030. So all of those smaller devices added together are effectively an extra 30%. And the key here is more area of display equates directly into more demand for quantum dots as the QD-enabled displays. We then go over the slide. We're now on Slide 12. And just to highlight some of the opportunities we see for Nanoco, carbon-free quantum dots. Already discussed a significant growth forecast for QD TVs with 38% compound annual growth rate to 2030. We do believe that our revalidated IP creates a significant technical and financial barrier to entry. I already mentioned that we're already testing materials with a major TV brands. And that today, because we retained our Runcorn production facility, we still have enough capacity to deal directly and supply materials directly to either a new entrant, someone switching over to cadmium-free quantum dots or even one of the existing players outside of Samsung in the cadmium-free quantum dot TV market because we estimate today that new companies supplying more than -- train about 0.5 million to 1 million cadmium-free quantum dot TVs currently. We obviously still have the option to look at outsourced production. It needs to be -- but it's also the case that if demand awards stripping capacity, it's relatively low cost to be able to scale up a facility or to increase facility side to match that to an increased demand. In terms of other opportunities, it's still the case of RoHS or the restriction of hazard is substances legislation, as it exists in different parts of the world, so not just Europe, that's still pushing the ESG agenda for a number of corporates towards cadmium-free solution because of the obvious environmental benefits and the toxicity associated with cadmium. We're also currently exploring a tension disagreement -- distribution agreement with a potential Chinese partner. So we see a number of emerging opportunities in the CFQD display market, and that's why we're starting to bid a little bit more time in our effort into the display side of the business and just rebalancing things a little back from but focus on the sensing side of the business. If we now turn it over a couple of slides through the divider. We're now looking at Slide number 14. I want to say a little bit about the two IP transactions that we've signed just after the end of the financial reporting period. And this first Slide 14 talks about financials around those two agreements. The total receivable from the two contracts is $150 million. Nanoco share of that is $90 million. That's on a pretax basis. And the funder and adviser costs from that $150 million they're entitled to $60 million. I know some people think $60 million looks expensive. And -- but one of the things about litigation finance is after you've won, looking back, yes, it can look expensive. However, if you take yourself back to before you actually started the litigation, and particularly in Nanoco's case, where we were anticipating legal cost in excess of $10 million. That wasn't $10 million that we had or felt we could access and then the other share perform at that time. And then again, as a reminder, we ran an independent tender exercise for nonrecourse litigation financing. Meaning if you lose, the funder gets nothing back whatsoever, which is one of the reasons it can look expensive. And we received four independent offers for -- to be our litigation funder. In the end, we selected GLS Capital on the basis of two criteria: One was the actual commercial costs being more competitive in one case, in particular, significantly more competitive than the other three offers, but also because of the depth of experience, knowledge and expertise of the GLS team, not just in litigation financing, but in litigation itself, with a number of members of the GLS tank being former IP litigation lawyers. The last thing I'd say about that is it's also worth in retaining 60% of the total $150 million. That's higher than the previously anticipated 50% that we said we would retain towards the lower end of expectations. In terms of tranches, the money is being paid out in $275 million tranches. Tranche number 1 was received in March '23. The funders and advisers have been paid their face in accordance with those agreements, leaving Nanoco with $15 million on a pretax basis. Tranche 2, that's due to be paid to us by February '24, and there aren't any performance conditions other than honoring what's in the license agreement, i.e., continuing to grow in terms of access to our IP, about $75 million that comes then in February '24. That's all for Nanoco's effectively wholly unencumbered, except for some withholding tax. And then the board will decide what to do with those funds at that time to in February 2024. And the Board will balance the needs of the business against our already expressed commitment to make a material return of capital to shareholders. If you then go over the page, a slightly drier topic here, but it does matter. It obviously has a significant impact on us on our earnings, et cetera. But just setting out the accounting for those two IP transactions. The two transactions were structured as a sale of IP and an IP license, both obviously signed at the same time and between the two of them, they deliver them to the litigation process. Turning first to the sale of IP. We retain, as we've already said a number of times, the full freedom to operate in all of our markets, all of our products and all of our geographies. We retain under Nanoco ownership, all patents linked to our current and foreseeable commercial activity. It's also worth noting on the patents that we've sold, 118 noncore nonmaterial patents, that we have a license back to be able to use those as well. So you can see why effectively the sale hasn't really had any impact on our ability to operate our business. And it is worth noting that those 118 patents that we sold out of a total of 500 and had a net book value of just $400,000. And weren't in any commercial use in the business today. In terms of accounting for that, that disposal will be recognized in FY '23 as a profit on disposal of intangible assets. Turning to the license, the IP license that referred to Samsung is over our remaining IV portfolio. We expect the income from that license to be recognized over the next nine years or just under nine years. And that reflects that Samsung will have an ongoing access to that IP portfolio over time, not in the IFRS 15 revenue recognition standards. And then finally, just to reiterate, those two transactions together resulted in the global settlement of all litigation in all territories. And lastly, the proceeds in both cases, can be offset against our accumulated operating losses, which at the end of January 2023, we're around £43 million. So we do expect to pay some tax on these transactions around £5 million, but the actual detail of the final tax number will depend on the interaction with the R&D tax credit regime in the U.K. and also on the box tax rating in the U.K. And also actually the business performance of the commercial business in this year ending 31 July 2023. If we then go over one more page. We're now looking at Slide 16. It's head in the Board Litigation Risk Assessment. What I mean by that is these are the sorts of issues that the Board took into account when it was deciding or assessing whether or not to accept the settlement that was basically being proposed because obviously, any settlement obviously involves a certain degree of compromise. And what we set out here is just standing back and looking at trial, there are four possible scenarios. There are, of course, other scenarios because the jury doesn't actually have to fix on anyone's damages, models, et cetera. So there are multiple other scenarios. But here four pretty basic ones. One scenario, you can actually lose a trial. The jury can decide, no, they actually believe Samsung's version of events and therefore, Nanoco loose. And it's fair to say that when you got a jury, you're making decisions on fact Federal Circuit other do not like to and are unlikely to overturn jury findings of fact unless they can actually be proven to be irrational, which is an extremely high bar to pass. So you'll see we haven't put any percentages on here. Equally, we haven't got any numbers on here. But this is the framework that the Board would assess or the Board did assess the prospect of litigation. Again, there are core documents that were published throughout last year, all of which set out different parties use on damages and damages, models, et cetera. So all of these figures are out there. The second option instead of losing, we could win. So the jury may believe Nanoco's case that Samsung had a trencher IP, but they might actually be persuaded by this Samsung argument damages. So they could award the sensors damages model. It is not inevitable that by winning you invariably then get one of your damages model, that is not how it works. And so you can win on the Samsung damages model, which was a very low value indeed. The third scenario and looking at the bottom right here, we could win, and we could win on our own low damages model again, some court documents refer to that as the die -- the approach of the die model. The challenge you've got there is if you've won a trial and you've won on your own damages model, you can't actually appeal against your own damages model to try to get a higher one. So that's the bottom right scenario. And then on the bottom left, yes, you could win and you could win on our high damages model. The challenges that you've got there, though, is that our assessment after taking extensive advice was that you would absolutely be guaranteed to have an appeal. That appeal process could take more than four years. We are aware of examples of people in litigation, having trials, retrials, damages retrials going on for 8, 9, 10, 12 plus years. Each of those pails, remember, we only have to lose one of those and we get reset to zero. If you get a damages retail from a high model, you're then back looking at scenarios here where you could win again, but you can go back to the Samsung damages model, you could win again, but be put back to your low damages model or you could win for a second time on your own high damages model. And clearly, three out all of that activity, no rather how many years that last, you've got further costs and those costs have to be funded, whether it's through litigation finance or other sources of finance. But again, given that, that funding may actually not be repaid because it's nonrecourse or would need to be nonrecourse financing, it would be relatively expensive. So when you add all of those together and in the run, effectively, you've got three scenarios, lose, win on their low damages model and win on our new damages model. But the net result for Nanoco after deducting costs would actually be zero because the funders and the litigation advisers, they get paid first, and that's industry standard. I don't think anyone's ever done an example of where it hasn't been paid first. And you can understand that they're 100% on risk in the case of the litigation financing, that's why they get paid for it. So you've got three out of four scenarios where actually you can get a zero outcome. So weighing all of that up and after taking all the advice into account, looking at those different risk issues, that's why the Board decided to accept that $150 million group settlement that is netted that $90 million for Nanoco. And just in summary here, we sued one of the biggest companies in the world. We won. And at the end of it all, we netted more than the value of the Company before we actually started the litigation. So that's the background to that decision-making process. Now turn over the page to Slide number 17. What you'll see here is a few examples of all future licensing opportunities. So the USD TAM, as I said, validated our core patents and we retain our core process and composition of matter patents. And those two situations create the opportunity for proactive licensing approaches as the market grows. If you remember back to that slide where we showed that expanding blue wedge. So today, there aren't a lot of people selling a lot of TV. So there isn't much to target, if you like, in terms of TV sales. But as that market grows, the opportunities for proactive licensing and getting reasonable license income from our IP. That increases over time. We've established an internal IP licensing team to identify and pursue licensing opportunities. We've also retained an IP strategy expertising options for external licensing support. The litigation proceeds that we have achieved will actually then give us the option going forward that we can decide if we want to self-fund future licensing or litigation activities. I know there are split opinion. Some people think you should risk none of your own money on litigation, and therefore, accept that there are high litigation costs. We've heard that from some investors. Equally, there are others who are saying new -- the cost of the litigation financing is sufficiently high that it would be worth funding it yourself. So there's a judgment. But at least now, because we've got the litigation proceeds coming in, we actually will be able to make that choice going forward and whether or not it's worth using some of the proceeds of the two IP agreements to actually self-fund future litigation. So what we say, overall, in the medium term is the potential for more IP income to supplement the main focus of our business, our commercial business. I'll now hand you over to Liam to take you through the financial review.
Liam Gray: Thank you, Brian. Good morning, everyone. Let me move on to the financial highlights slide. Starting with our trade results, revenue is up 45% on the same period in the prior year. This increase has been driven by an increase in the sale of materials by approximately 60% as part of the validation process all -- in all, increased revenue up to $16 million for the six-month period. Our cost mix remained stable. However, it is worth pointing out some of the financial benefits from the footage Premises November '22 been partially offset by inflationary cost increases. In addition, we continue to invest in our costs and staff where we have recently seen a 30% increase headcount, which reflects in square Global across the business. Cash at period end was $6 million from $6.8 million as reported at first of July 2022. This is a net cash paid of just over of £1 million a month, and that includes the receipt of the R&D tax claim relating to the prior period. And still the cash transfer the proceeds from the sale of the IP and license agreements we received post period end in March. So if we move on to the income statement slide. As mentioned previously, revenue was up 45% on the same period in the prior year, and the increase in revenue being largely driven by an increase in material sales reflects the higher cost of sales figure. The cost base remains clearly static and allows us a strong base on which to grow the business. However, like most businesses, we have seen some inflation increases in both labor costs and other operating costs, which means our adjusted EBITDA was in line with the prior year. And separately, in the six-month period, we have gained some cost litigation when covered by the fund. And there are also some additional infrastructure costs at our con sites. On our tax position, we wear tax advisers at the year-end to identify the most efficient use of our growth forward tax losses and our position in the bank box regime, given the profits which will result in the sale of the IP and license agreements in the full year results. This all comes down to a loss of a fact in a period of $2.1 million, which is in line with the prior period. Move on to the next slide. This shows our bridge of movements and net loss in the prior period of the current period. So with the net loss in the broad paid of £2.1 million. We then have the impact of the improved revenue due to increased material sales. As mentioned previously, there were some additional OpEx costs due to inflation pressures and additional investments in Runcorn infrastructure. A small fall in our branch income and small increases in the share-based payment charge and litigation costs, half in total had a €0.3 million of impact on the net loss. These are then offset by the reduction in depreciation and amortization expense. This gets us back to £2.1 million net loss as shown in. And just to reiterate, we expect our cash cost base remains stable at around £0.4 million, with savings from the closure of the Manchester site being partially offset by 13 increase in headcount. If we move on to the next slide. Here, we reconcile our cash position compared with the prior period, which shows a net consumption of £0.8 million from the six-month period. So we start with £6.8 million at July 2022. We then have our adjusted EBITDA of £0.1 million -- sorry, £1.1 million. We then have a small favorable working capital movement of £0.1 million, offset by operating lease cash costs of £0.2 million and CapEx, £0.1 billion, spread across both tangible and intangible assets. We also had the benefit of receiving our £0.5 million R&D tax claim in the period, which relates to the prior financial year. And that gets us to a closing cash position of £6 million. Let me then move on to the final financial slide, which is summary financial highlights for the six-month period ended 31st of Jan '23. On guidance, as we've mentioned previously, our full year revenue will be around 20% ahead of FY '22. This is before the impact of the Samsung license agreements, which will contribute an additional £3 million of license fee revenue. Our prospects remains at 0.4 million bond with the savings from the closure of the Manchester site being partially offset by inflationary pressures and increase in headcount to the deal with increasing workloads. On our capabilities, to retain our core capabilities through three very challenging. Our recent increase in headcount had a positive impact on our capacity to provide additional services and supply card materials as and when required. And we continue to invest in both our local facilities. And then finally, on Treasury. We faced the period with £6 million of cash, reflecting a net cash consumption to just over north of £1 million in the period. The cash proceeds and the sale of IP and the license agreement means cash from was no longer the same for the business. And finally, we are looking at restructuring our balance sheet to enable a potential return of capital in the future. And with that, I'll pass it back to Brian to summarize.
Brian Tenner: Thanks, Liam. So we'll turn now to Slide number 25 on the summary of the messages and what we've delivered in the last six months. In terms of opportunity, we're active in a number of high group global markets too. Our validated IP creates barrier to entry in display markets and also applies in sensing markets. And we have a wide range of novel, high-performing materials that are able to exploit the rapid growth in the sensing markets. In terms of what that represents is the platform for the business, and we often refer to our technology as a platform technology, and that's because it applies across a range of different products, applications and markets. But in terms of the platform that we see today, we're now in the most robust financial and commercial position in our 20-year history. Our core IP underpins both display and sensing opportunities and remains a 100% owned asset of the business. And you can not to understand the strength for the business being in a fully funded business operating in a risk-off market at this point in time. All of that then adds up to value opportunities. So the litigation has already delivered transformational value for IP or for Nanoco with our IP being validated. We do have two materials in final preproduction and validation with orders expected at the end of this financial year. And our focus as a management team remains firmly fixed on the commercial business, and that's how we'll deliver those significant value opportunities that I've just described. Thank you for listening. And I'll now hand you back to Francois who is going to take questions if they're coming in on the telephone line. And after that, if any, have been submitted online, then I think Lean has them on his screen. So over to you, Francois.
Operator: We have currently no questions from the conference call. So we will move straight to questions from the webcast. We have our first question from Ana Margaret Crow from Edison Group. A major TV brand is testing Nanoco's CFQD. If successful, when could this result in commercial volumes, what volumes would be required? And how much could this be worth?
Brian Tenner: So there's two or three next questions in there. And -- the actual timing for this will really depend on the customer in question product launch cycle. We obviously will disclose their launch cycle, but it's fair to say they launched TVs once a year. And so it's either going to be in 2023 or 2024. 2023, given we're already at and is unlikely, so more likely to be 2024. In terms of volumes, you heard me mention earlier that there aren't any other manufacturers or sellers of QD TVs but exceed 1 million TVs. And actually, the majority of the other players on CFQD side are around 0.5 million TV type numbers. So that's the sort of volumes that we're talking about. Relatively small in terms of the global TV market, at 250 million, but a meaningful start. In terms of what that would mean for revenue, if we were providing the materials for 0.5 million TVs. It would be a meaningful contribution to revenue. I don't think it wouldn't get us immediately to a breakeven position because there's obviously material costs and all the other costs we do with manufacturing that. But it would be a meaningful contribution to our revenue would certainly be higher than the revenue that we're seeing in this current financial year. So it's that order of magnitude. And we're added to what we're already delivering on sensing on the fact that we expect sensing orders by the end of this year. The two taken -- or those three things taken together super the business in a positive cash and positive profit territory.
Operator: Thank you. There are currently no further questions from the webcast. So I will hand over to Brian for any closing remarks.
Brian Tenner: So thank you for listening. We will be hosting an IMC call tomorrow. So anyone listening today who wants to submit questions for that, I think the day line is for 5 o'clock tonight to be as a chance to those questions. Quite often, there are duplicates, et cetera. And -- but I just want to leave you with the message that, as we've said many times, our management focus has always been on the commercial or the organic business, that cake. We talked about. Samsung is now effectively behind us and gives us by financial security to be able to focus on and plan for the medium and longer term of our commercial business, and that's to deliver those value opportunities that we've set out through today's discussion. So thank you for listening, and that's it for this time around from the Nanoco team. Thank you.